Operator: Good morning. My name is Mike and I will be your conference operator today. At this time, I would like to welcome everyone to the Sandstorm Gold's Conference Call. All lines have been placed on mute to prevent any background noise. Please be aware that some of the commentary may contain forward-looking statements. There can be no assurance that forward-looking statements will prove to be accurate as actual results and future events could differ materially from those anticipated in such statements. After the speakers' remarks, there'll be a question-and-answer session. [Operator Instructions]. Thank you. Mr. Watson, you may begin your conference.
Nolan Watson: Thank you. Good morning, everyone, and thank you for calling into this third quarter earnings call for 2020. This morning, Erfan, our CFO is going to walk us through the Q3 results, and Dave Awram will provide a brief update on our asset base. And then as usual, we'll turn it over to the operator for a question-and-answer period. If anyone has questions that don't need to be part of the live Q&A, you can ask those through the web portal. And we'll make sure we get back to each question, you will get a direct response from us after this call. Before handing it over to Erfan, I want to provide a brief update on how our Q3 sales were affected by COVID and what we're expecting based on what we're seeing for Q4. I'd also like to take the time to provide a couple of updates including about our expiring warrants, our modern timing, and our deal pipeline, including the elephants in the room, which is the lease deal information for a transaction that does not actually appear. At this time, we'll begin going through a prepared PowerPoint presentation in the web portal. So if you're able to please turn your attention there now.  So starting with an update about how our Q3 results were affected by COVID. During Q2, nearly half of our producing assets were affected, including but not limited to Santa Elena, Fruta del Norte, et cetera and they're all shutdown for most of the quarter. During last quarter's earnings call, I outlined how these mine shutdowns would also affect our Q3 numbers despite all these mines being back up and running during Q3. The main issue relates to how we recognize revenue for our stream because we do not recognize the sales until we've actually received the gold from our counterparties and have actually sold it. In most cases, we've delivered gold in the month following the actual production. However, in the case of streams like Cerro Moro, we've delivered silver once per quarter only, meaning that our Q3 ounces from Cerro Moro reflects what was actually produced in Q2 and if Cerro Moro operated at a reduced rate in Q2, that resulted in fewer ounces being received and sold by Sandstorm during the third quarter. The good news is that we expect to be back to record revenue and record cash flow in this fourth quarter. With respect to other brief updates I'd like to provide, I'll start with the soon to be expiring warrants. There's still a couple of million warrants that are outstanding and will be expiring this coming Tuesday, November 3. After which point Sandstorm will no longer have any outstanding warrants as capital structure and we're very pleased that Sandstorm will be 100% free of any warrant overhang going forward, which will be the first time in our 11-year history that we will have no outstanding warrants. And candidly, I'm very excited about that. It's worth noting that these warrants, if not exercised, will fully expire next week. For those people who have them in their accounts, you will not be eligible for an extension, you will need to exercise those warrants immediately or that value will be lost due entirely. Last quarter, on our future earnings calls, I provided a brief status update on Hod Maden and stated that it was likely that the start date would get pushed back into 2023. And shortly thereafter, we put out a press release updating our official guidance for 2023 startup dates. The primary reason for these timeline changes are due to various delays that have been occurring because of COVID combined with various longer lead time items that have been identified during the completion of the feasibility study, which we're hoping will be completed by the end of the first quarter of 2021 or Q2 at the latest. And as I mentioned before, we're pleased with how our partner Lidya Madencilik is pushing the asset forward as quickly as possible towards production. And we look forward to this incredible asset beginning to provide us growth soon. You can see from this slide, that the next six to nine months are very important for this project. We're hoping that in this time period, not only will the feasibility study be complete, but possibly the EIA will be fully applied for and hopefully granted. This will be a big milestone for the project as it is fast tracked towards production. Moving on to the status of our deal pipeline. Last quarter, I mentioned that as base metal prices have rebounded from their prior COVID lows, that there were a number of base metal companies that have been looking at selling streams that no longer appear to require financing in this environment. And it appears that this continues to be true. Although we're still working on a number of transactions, it is clear that for larger deals, the motivation to complete stream deals by our counterparties has decreased on average. As always, our team is working hard behind the scenes to find intelligent and attractive acquisitions and we will continue to endeavor to do so. However, we will not rush ourselves into acquisitions to grow for the sake of growing. We've learned over the years that being methodical and patient is what pays-off for our shareholders s in the long run. From this available capital slide, you can see the substantial resources that Sandstorm has at its disposal to grow the company. Only nine months ago, Sandstorm had $45 million of debt owing to bank and had almost no cash. Today, Sandstorm is debt free, and has over $75 million in cash, nearly $70 million in non-core securities that we can sell, and $300 million in available credit. By early next year, we therefore expect to have access to nearly $0.5 billion with which to grow our company, which is more available capital than Sandstorm has ever had in the history of the company. Also to address the elephants in the room, as many of you may be aware, a number of weeks ago another company mistakenly made public information about a conceptual precious metal stream acquisition that involves Sandstorm, causing us to have to put out a press release, clarifying that no such transaction had been completed, and the no assurances existed that the transaction would be completed ever. The statement continues to be true. We've been asked by a number of investors, if we would put out press releases if the deal were to officially die. And the answer is no. We don't put out press releases for deals that we never announced in the first place, and for which we won't be completing. I believe it is reasonable for investors to assume that although this specific transaction might not be completed, but eventually in over time, our management team will find intelligent transactions that make Sandstorm, an even better investment for shareholders. And I can assure investors that we will work very hard behind the scenes to continually improve this company and move it forward. I personally, I'm very bullish on precious metals over the next 10 plus years. Sandstorm is well-positioned based on our existing portfolio of assets to profit from this, but we're working hard to get even more precious metals exposure. And I believe that our balance sheet is well-positioned with no debt and substantial cash to make further acquisitions going forward. With that, I'll hand it over to Erfan.
Erfan Kazemi: Thank you, Nolan. I'd like to take some time now to highlight a few key points from the third quarter financial. Well, I think a general theme for 2020 has been uncertainty stands on third quarter results, so positive trends that is hopefully indicative of the mining industry returning to sometimes normal. The big news in the mining industry this year has been the continued rise in the price of gold. The chart on the right of this slide shows Sandstorm's average realized gold price in the third quarter was $1,920 per attributable ounce. That's a 12% increase compared to the second quarter of 2020 and nearly a 30% increase since the third quarter last year. In the chart on the left, you can see that the increase in gold price resulted in higher revenues for the third quarter at $23 million. Despite decreases in gold attributable ounces sold over the last three quarters, this is a good demonstration from the exposure to the gold price that lies within Sandstorm's portfolio of royalty assets. The rising gold price has another positive effect on the company's financials and I'll highlight a few here on this next slide. Sandstorm sold approximately 12,000 attributable gold equivalent ounces in the third quarter, down from 17,000 ounces from the previous quarter -- in the previous year. The decrease was partly due to the lingering effects of restrictions related to the pandemic, which I will discuss in a bit. As I mentioned, at an average realized gold price of $1,928 per attributable once, total revenues for the third quarter was $23.3 million. The average cost that Sandstorm sells each attributable ounce remains very low for the quarter averaging $258 per attributable ounce. This low cash cost combined with the higher gold price results in strong cash operating margin at $1,670 per attributable ounce. In fact, this was a new record for the company. Cash flows from operating activities was also strong at $18.1 million resulting in $6.5 million of net income for the quarter, up slightly from the same period in 2019. The next slide shows a breakdown of gold attributable ounces sold from Sandstorm's producing assets. As we have discussed, overall production continued to be affected by various operational restrictions and plans implemented because of the COVID-19. While all the effective operation in Sandstorm's portfolio, we're back online in some capacity by the end of the second quarter, several mines continue to ramp-up operations throughout the third quarter. Another important factor to note is the delay in realized production from several mines. And as Nolan just mentioned, Cerro Moro is no exception. So when you look at silver drillers in Cerro Moro identified here under the amount of silver stream, it provides Sandstorm at the beginning of each quarter. This means attributable ounces sold in the current quarter are represented to assets production from the previous quarter. As such, the ounces received in Cerro Moro in the third quarter represents the operational impact that actually occurred in the second quarter. Speaking to Cerro Moro, although the number of silver ounces sold was down for the quarter by 47% compared to the previous year's quarter, the decrease is partially offset of the rising price of silver. Sandstorm realized an average price of $19.12 per silver ounce up 27% when compared to the third quarter of 2019. The increase in silver price should correlate nicely with the return of Cerro Moro's full production capacity in the coming quarters. While Santa Elena contributed the largest number of ounces to Sandstorm's production in third quarter, the Santa Elena mine was also impacted by COVID-19 restrictions in the second quarter. This partly resulted in a 40% decrease in attributable ounces sold compared to the same period in 2019. As with other operations impacted by the pandemic, Santa Elena continued to ramp-up production throughout the third quarter. Our operator First Majestic announced in October to the mine saw 100% increase in gold production compared to the previous quarter. I'm optimistic this trend will continue and Sandstorm will see production return at higher levels in the coming quarters. Another notable asset I'd like to highlight on this slide is Relief Canyon, operator Americas Gold and Silver announced first gold pour in Relief Canyon back in February. And as for the streaming agreement, six deliveries that Sandstorm began in May, making this the first full quarter where we received ounces and stream. I guess, in conclusion, I believe this quarter's financial results represent a trend in the right direction. Even in times of uncertainty, the royalty business model continues to prove its resilience and strength. As Nolan mentioned earlier, Sandstorm is in a strong position with plenty of available capital tapped quickly on new opportunities. And with rising commodity prices and operations returning to normal capacity, I believe, Sandstorm shareholders have reasons to be optimistic for the future. And with that, I will turn it over to Dave for some specific asset update.
Dave Awram: Great. Thank you, Erfan. So summer has passed for the mining industry, we've begun to see the effects of more capital coming into the space for development and exploration with our entire industry. The portfolio in Sandstorm is no exception to that. Many companies that begin to formulate plans on further work and as opposed to the years 2013 to 2019, capital is available to execute on those plans. Our portfolio of royalties and streams is seeing the benefit of this. The period we're in right now is what we wait for as a royalty company. Sandstorm has spent years patiently cultivating small pieces of big projects and accumulating packages of low price or no priced optionality that are now seeing progress happen rapidly. As a royalty company, we're valued based on our existing cash flow and near-term development. However, we still love the value of more than 170 other royalties that have been sitting on the background and are now starting to get money spent on them, and are beginning to graduate higher and higher levels of development, which we hope will eventually get to cash flow states themselves. The true value of a great royalty purchase is seeing the projects progress to cash flow without spending that capital it takes to get that valuable progress. So with that introduction, I'm going to quick overview of Fruta del Norte and then speak about the entire portfolio in general. Just to restart Fruta del Norte in Q3, great progress has been made with both exploration and development programs, something that we've been eagerly anticipating since our sort of purchase of the Fruta royalty in early 2019 is the prospect of exploration outside of the mine itself in the Suarez pull-apart basin. This very prospective area has had virtually no exploration for 13 years, despite having many tantalizing exploration targets. Finally, Lundin Gold has received permits to drill the first target on the list of at least 10 within that pull-apart basin. That project is for Barbasco a great geotactical, sorry geochemical and geophysical targets 6,000 meters of drilling are planned in 2020. The strike length of this target alone is currently 3.8 kilometers long, and rock samples of surface upgrading up to 10.4 grams per ton, making this as large as a target as Fruta itself. In addition to the greater regional exploration program, Lundin continues to push expansion plans at the mine further. They had a great Q3 production number with over 94,000 ounces, beating almost all expectations and now they are speaking of speeding up previously announced expansions. Current nameplate capacity sits at 3,500 tons per day with expansions up to 4,000 to 5,000 tons per day and operations are being studied with some of these increases of throughput potentially achievable as early as next year. Also, inferred resources in the South Zone of Fruta continue to get upgraded and potentially will be converted to reserves. Like our investment in Houndé operated by Endeavour Mining, Lundin is pushing expansions as quickly as possible. This is what happens when you make investments in the best gold projects in the world. Next, I'd like to talk about Slide 13 in the presentation. This is a little bit of data that I'm grateful that our team was able to put together. What you see is a quantitative assessment of the number of partner projects that are receiving active exploration work in 2020. Each one of the bars represents percentage of assets that are receiving active exploration work. As I discussed from the introduction, we're really starting to see our portfolio projects receive a lot of investment. For producing assets, 67% of the projects are completing exploration. These are programs beyond the typical resource and reserve conversion and development work that is required on an annual basis, it's variety of near mine and regional exploration programs taking place. Also a bulk of development projects that we own royalties on are having additional work being completed that number is 71%. 65% of the assets with existing resources that are in our advanced exploration category are receiving additional exploration work and 34% of our projects in the early exploration stage are getting work performed on them. Keep in mind that because most of these royalties were purchased in packages, the dean cost of most is zero or near zero, but many are working this year with budgets of millions. The point is that as long as this cycle continues and exploration projects, junior developers continue to have access to capital, we'll see many of these projects graduate to successively higher stages year-over-year. Eventually, many will start cash flowing without having to spend $1 on them. Although we have lots of capital to grow, purchasing cash flow and royalties and streams. Sandstorm has a great organic pipeline of projects that will add to our growth in future. So with that, I'll pass over the call to Mike for Q&A. Please feel free to ask questions about any of our royalties and streams.
Operator: [Operator Instructions]. Your first question comes from Heiko Ihle from H.C. Wainwright. Please go ahead.
Heiko Ihle: Good morning. In regards to a little bit more broad-based question, a more specific one. In regards to your earlier stage projects and things that you're looking at, what are you seeing with operators wanting to move their projects forward at the present time and being willing to sell streams, we have very strong gold price environment, obviously, which I assume at least for them is at least somewhat offset by the impacts of COVID and the fairly low interest rates. I mean, folks want to get build their mines and i.e. install [ph] think of this data, you provided very good source of capital. Has anything there changed in regards to interest levels in the last call it 60, 90 days?
Erfan Kazemi: So in terms of really kind of partners and potential deals that are out there, for sure gold prices are strong. There seems to be more equity available in the industry, but still streaming and royalty capital going into projects is a very good form of capital. It really is low risk. Interest rates are low. But availability of debt is not as high, I think as it has been in periods in the past. I think what we're seeing a lot of the single asset developers are looking together, put together packages. And honestly, those groups have been effectively orphaned by the capital markets for years. And so there still is an ability to really kind of look in and look at streams and royalties on those single asset developers for your bigger companies, for sure they have access to capital. Base metal companies, of course too although they're seeing some relief in pricing, and higher commodity prices, and they saw at the beginning of this year, still I think their ability to access debt is not as great is, I think the market would assume it is at this time, and there certainly are opportunities there. But it is, of course, a competitive landscape in that size. There are transactions available to us. Cash flowing once and there certainly are a lot of assets and packages of royalties that are available. We're in a competing landscape. But like Nolan talked about before earlier, we need to be patient, we need to make sure that we're allocating capital in the right way, making the right choices for our shareholders and we're absolutely willing to be patient.
Heiko Ihle: Fair enough, good answer. I went through your MD&A this morning, which has always been quite extensive, and was briefly reminded on the impairment that you had on Diavik earlier this year. And more importantly, the one that you broke down the impairment between mine life and the price of the diamonds. Purely out of curiosity and again, I assume the answer is no are there any other assets of yours where we might see an impairment in the next quarter or two? I mean, gold prices are strong, silver pricing is pretty strong, but I figured I just asked. Thank you.
Nolan Watson: Yes, great question. We go through a detailed impairment analysis every single quarter as part of our internal control processes. And so if something hasn't been written down, at this moment, it's not impaired. And I think that your -- your point about gold prices being higher is exactly right. I don't see anything in our gold portfolio right now that I see as a candidate for anything that would need to be written down. Diavik was the only thing that was recent and that's because the diamond market got hit really hard because of COVID, so outside of that I don't see anything material coming down the pipe.
Operator: Your next question comes from Derick Ma from TD Securities. Please go ahead.
Derick Ma: Thank you. Two questions from me. First a general question, how the results would be an inherent disclosure in potential transaction? And there more of an appetite or eagerness amongst the players in the space to syndicate larger deals to get there with Sandstorm as a partner?
Nolan Watson: Yes, we've had a number of conversations with various competitors. Now I would say I have met personally with all of the CEOs in our streaming and royalty industry, at least of material streaming and royalty companies. And the vast majority of them are looking to syndicate transactions where the size of the transaction is larger than they want to focus that much risk on and so although you haven't seen a lot of syndicated transactions actually get over the line yet. I expect it will become a normal operating procedure for the streaming and royalty space for large deals.
Derick Ma: That's good to hear and probably good news for Sandstorm. One more question on Chapada, Lundin is obviously examining various expansion scenarios there have they reached at the same time in terms of a potential conversion of the copper stream to gold? And if so, or would that be something manageable as management is amenable to?
Nolan Watson: That's not something that we're having conversations on right now.
Operator: Your next question comes from Hilary Chak from Canaccord. Please go ahead.
Hilary Chak: Hi. So you mentioned that the hard mining feasibility is expected to be completed at the end of Q1. I'm just wondering, is there any change on how you are financing the project?
Nolan Watson: Yes, great question. No, we've been in contact with Lidya Madencilik. She was one make that decision in the end and we're in contact with them regularly and their current plan for project financing is the exact thing as it was two, three years ago. So it's nothing's changed there, which is still about 70% debt financing at the project level and about 30% equity contribution by the partners.
Operator: Our next question comes from John Tumazos from John Tumazos Very Independent Research. Please go ahead.
John Tumazos: Thank you. I just want to congratulate you on total assets to equity ratio of 1.01. I think that's the strongest I've ever seen for an operating company. There's no deferred tax asset. There's no goodwill, it's real. Well done.
Nolan Watson: Thank you.
John Tumazos: As I look at the quarterly production, of course, there's the two new producing assets. And there's Bachelor Lake and Ming, which are not producing. And some that may be at a lower grade, or tons like Black Fox, as well as some assets where there was virus impact, how many ounces do you think you lost in the third quarter due to virus as opposed to depletion?
Nolan Watson: I would say I can't pick an exact number. And I will be absolutely guessing. But I think what you'll see come through in the fourth quarter is more representative of what production would have been, if no COVID. And I think that would be an extra 2,000 or 3,000 ounces, just from COVID.
John Tumazos: Back to the envelope, I was looking at five companies that reported this morning. 2.2000 ounces would be Bachelor Lake and Ming pending. And then there's something for Black Fox or others that produced well for Diavik Diamonds, as opposed to the net gain that you have new ounces et cetera. When do you think you'll be back to 16,000 ounces of production? And when do you think will be at a new higher threshold of say 20,000 ounces in a quarter?
Nolan Watson: I think although it's hard to predict exactly when we will hit 16,000 ounces again, I wouldn't be surprised that in a quarter next year, depending on how things go with respect to hitting a new threshold of say 20,000 ounces a quarter or say 80,000 ounces a year. My personal belief is that that's going to happen after we make our next acquisition. Obviously, if we don't make a material acquisition, it'll be one model up and running in 2023. But it wouldn't surprise me if we don't make an acquisition of an asset that gets cash flowing before then. So I would say stay tuned for the next acquisition.
John Tumazos: And congratulations again on the balance sheet I've been doing this too long. I can't remember anything better.
Nolan Watson: Thank you.
Operator: That was our last question.
Nolan Watson: Yes, thank you, operator. I hope everyone has a fantastic day. And thanks again for calling into this call.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.